Operator: Good day, ladies and gentlemen. And welcome to the Nektar Therapeutics Q2 2018 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call maybe recorded. I would now like to introduce your host for today’s conference, Ms. Jennifer Ruddock, Senior Vice President, Investor Relations. Please go ahead.
Jennifer Ruddock: Thank you, Krystal. Good afternoon. And thank you to everyone for joining us this today. With us are Howard Robin, our President and CEO; Gil Labrucherie, our Chief Financial Officer; Dr. Jonathan Zalevsky, our Chief Scientific Officer; and Dr. Mary Tagliaferri, our Chief Medical Officer. Some members of our team are joining from different locations today. So, we ask for your patience today during Q&A if there is any lag in responding. On this call, we expect to make forward-looking statements regarding our business, including the timing of future clinical trials and clinical trial results, clinical development plans, the economic potential of our collaboration partnerships, the therapeutic potential of certain drugs and drug candidates, as well as those of our partners, our financial guidance for 2018 and certain other statements regarding the future of our business. Because these forward-looking statements relate to the future, they are subject to inherent uncertainties and risks that are difficult to predict and many of which are outside of our control. Important risks and uncertainties are set forth in the Form 10-Q we filed on May 10, 2018, which is available at sec.gov. We undertake no obligation to update any forward-looking statements whether as a result of new information, future developments or otherwise. A webcast of this call will be available on the IR page at Nektar’s website at nektar.com. With that, I will now turn the call over to Howard. Howard?
Howard Robin: Thank you, Jennifer, and thank you to everyone for joining us today for our second quarter 2018 conference call. On today’s call we will review our accomplishments in 2018 to-date and also our planned milestones over the next 12 months, including the initiation of the broad Phase 3 program for NKTR-214, which includes multiple trials starting this year in melanoma, renal cell carcinoma and bladder cancers. We will also reiterate our financial guidance for the remainder 2018. I’ll start by reviewing the multiple successes we have achieved with our pipeline of Nektar invented medicines across three therapeutic areas, immuno-oncology, immunology and pain. First in the area of chronic pain, we are exceptionally pleased that our NDA for NKTR-181 was accepted for filing by the FDA this month. I’d like to recognize the incredible job done by the team here at Nektar, which worked tirelessly on this goal over the past several months. Our NDA includes an extensive amount of efficacy and safety data in over 2,100 patients in healthy subjects. Based on advice from the FDA and given the size of the database, we submitted the NDA for a standard review. We've been officially informed that our PDUFA date will be May 29, 2019, and that the FDA plans to hold an advisory committee meeting to review our NDA. As you know, we've had highly productive interactions in pre-NDA meetings with the agency, and we plan to work closely with them during the review as well. As I stated last quarter, we are evaluating several strategic structural alternatives for the commercialization of NKTR-181. Our current focus is on establishing a separate subsidiary with one or more commercial or capital partners to launch this important molecule. We believe this option will allow Nektar to focus our efforts and resources on the development of Nektar's immuno-oncology and immunology pipeline, while at the same time ensure we capture the maximum value of NKTR-181 for our shareholders. We're very excited about the potential of NKTR-181 to help address the nation's opioid epidemic. In immuno-oncology, we remain focused on our strategy to develop a full pipeline of new potential medicines that address the key components of the immune cycle, in order to restore immune surveillance and properly harness the body's immune system to fight cancer. Following the signing of the Bristol-Myers Squibb collaboration, we are now in an exceptionally strong financial position, which allows us to execute on our vision for Nektar's portfolio in immuno-oncology. Our new Bristol-Myers collaboration became effective in April of this year. And as you know, provides a unique and broad platform for us to develop our lead I-O candidate, NKTR-214 rapidly. The collaboration includes a broad joint development plan with 20 registrational trials in nine tumor types and 15,000 patients. Nektar and Bristol-Myers Squibb have announced the planned start of the first three registrational trials, for NKTR-214 with OPDIVO this year, which will be in first-line melanoma, first-line renal cell carcinoma and cisplatin-ineligible first-line bladder cancer. I’ll, let Mary talk more about these specific studies in the moment. As you know we're very excited about the data we continue to collect from the ongoing PIVOT study, and in particular, the translational work that shows that treatment with NKTR-214 plus OPDIVO can convert over 50% of patients whose tumors have a baseline negative PD-L1 expression to positive PD-L1 expressers. As you'll recall, we observe this conversion with NKTR-214 monotherapy in our first Phase 1 trial of NKTR-214. This is why we believe that NKTR-214 plus OPDIVO can deliver on the promise of becoming the preferred standard-of-care as a doublet I-O regimen in many different tumor types. As the first example, we're working to incorporate this advantage of NKTR-214 observed in PD-L1 negative baseline patients into our registrational strategy in bladder cancer. Beyond these first tumor types, the next set of registrational trials in lung, breast, colorectal, gastric and sarcoma cancers are planned to start in the first half of next year. These studies are being designed and informed by the ongoing PIVOT data, which continue to mature over the next six to nine months. BMS and Nektar are highly focused on a multi-pronged clinical development approach for NKTR-214 plus OPDIVO. And this will include multiple registrational trials in each tumor type, including first line and relapsed refractory settings. The PIVOT trial is ongoing with NKTR-214 plus OPDIVO being tested in numerous patient cohorts. Recently, we added several new cohorts that will evaluate NKTR-214 plus OPDIVO with various doses of YERVOY as well. The collaboration with Bristol envisions several paths forward in both the doublet and triplet regimens, and these cohorts will inform our design of registrational trials. In addition to the triplet patient cohorts, we also added to PIVOT a new second line relapse refractory non-small cell lung cancer cohort that reflects a defined patient population based on the evolving standard-of-care in non-small cell lung cancer. The protocol now includes enrollment of patients, who have received single agent anti-PD-1 in either the first or second line, and the second cohort will enroll patients who have received an anti-PD-1 regimen with the platinum doublet in first-line. As Mary stated during our recent ASCO presentation, we look forward to presenting new data from the fully enrolled 38 patient first-line melanoma cohorts in PIVOT at the upcoming SITC conference in November. As data from each of the PIVOT cohorts mature over the next six to 18 months, Nektar and Bristol are planning to present each of the data sets at various medical meetings, including tumor-specific conferences. We're also planning to initiate two additional trials with NKTR-214 by the end of this year. The first will be a Phase 1 trial with Takeda to evaluate NKTR-214 with Takeda's dual SYK/FLT inhibitor known as TAK-659 in patients with non-Hodgkin's lymphoma. The second will be a Phase 1 trial with Syndax to evaluate NKTR-214 with Syndax HDAC inhibitor, entinostat in patients with I-O refractory melanoma. We are also actively engaged in discussions with additional companies where there is a strong scientific rationale for the combination of NKTR-214 with other targeted and I-O agents. And we expect that before the end of this year, we will select which of these collaborations will move forward into the clinic. We continue to execute on our vision for Nektar's portfolio in immuno-oncology. Our pipeline of I-O candidates beyond NKTR-214, includes NKTR-262, a TLR-78 agonist, and Nektar-255, an IL-15 candidate which can stimulate both NK-cells and memory T-cells. In April, we dosed the first patient in the REVEAL trial, which is evaluating a combination of NKTR-262 with NKTR-214. The combination of NKTR-262 with NKTR-214 has enormous potential. Our preclinical data for the combination of these two agents demonstrates clearly how the individual agents NKTR-262 and NKTR-214 work together to engage the innate and adaptive arms of the immune system, control the maturation and function of the underlying myeloid and lymphoid cell populations, and modify systemic immunology to drive an abscopal antitumor response. The dose escalation phase of the trial was sequential NKTR-262 and NKTR-214 is underway now to determine initial safety, PK and biomarker characterization. Following sequential dosing, we will evaluate concurrent dosing for the doublet of NKTR-262 and NKTR-214. We will also have the option later in the trial to evaluate a triplet of NKTR-262 and NKTR-214 plus OPDIVO. We expect to have our first biomarker in safety data from the first patients in the sequential dose escalation phase of the trial, sometime in the fourth quarter of this year. Once we’ve identified the recommended Phase 2 dose, the trials projected to enroll up to 400 patients with eight different tumor types in first and second line as well as refractory settings. For NKTR-255, our IL-15 candidate, we’ve been conducting important preclinical studies in combination with multiple experimental CAR-T cell therapies in collaboration with the Fred Hutchinson Cancer Research Center. IL-15 has been associated with remissions and longer duration of response in patients with lymphoid malignancies who have undergone CAR-T regimens. So we are excited about the potential of NKTR-255 to greatly enhance CAR-T outcomes, as well as its potential to be combined with other mechanisms in I-O. Our preclinical work with CAR-T is progressing nicely. We plan to file an IND for NKTR-255 in the first half of next year. Now moving onto our immunology program. Let me give you an update on the advancement of NKTR-358 with our partner Eli Lilly. As we stated in the past, the initial data from our ongoing first-in-human Phase 1 trial of NKTR-358 in healthy volunteers has shown dose-dependent increases in T regulatory cell levels with no increase in conventional T cells or NK cells. This is comparable to what we saw in our nonhuman primate models, and we are extremely pleased that this mechanism has now been confirmed in humans. We also recently started the Phase 1b multiple sending dose trial in patients with lupus. The trial is advancing very quickly. We expect to present initial data from the Phase 1 trial, and initial data from the lupus trial at medical meetings in the first half and second half of 2019 respectively. We're very excited about the potential of NKTR-358 as a resolution therapeutic to bring a new paradigm to the treatment of autoimmune disease and chronic inflammatory indications. So I'm very pleased with our results in the first half of 2018, and I'm very proud of our employees for their efforts in executing on our strategy. And with that, I'll turn the call over to Mary to discuss the Phase 3 trials in melanoma, renal cell carcinoma and bladder cancer.
Mary Tagliaferri: Thanks, Howard. I'll spend some time reviewing the plans for melanoma, renal cell and urothelial carcinoma, which Howard mentioned, are the first three tumor times in which BMS and Nektar are initiating registrational trials by the end of this year. Our strategy with BMS is to secure as many potential approvals in early and first-line settings across multiple solid tumor types to establish NKTR-214 plus OPDIVO as the standard of care. First in melanoma, we're very fortunate to be collaborating with BMS, who is the only company to have developed an immuno-oncology doublet therapy for melanoma patients. The Phase 3 trial of NKTR-214 plus OPDIVO will enroll 760 patients within advanced and metastatic melanoma, who will be stratified by PD-L1 status, stage of disease and BRAF status. The primary endpoints are PFS and OS, with a projected 22-month timeline for the final PFS analysis. Both the FDA and CHMP have agreed to an open-label design into our comparator arm, and we are very excited to initiate this trial. This pivotal study in melanoma is designed to secure NKTR-214 plus OPDIVO as the first-line I-O standard of care. The Phase 3 trial design will be available on clinicaltrials.gov shortly and enrollment should begin within the next month. In renal cell carcinoma Bristol-Myers and Nektar are planning to launch multiple registrational trials in advanced renal cell carcinoma patients, which will include several trials to evaluate the doublet and triplet regimens of NKTR-214 plus OPDIVO, and NKTR-214 plus OPDIVO and YERVOY across multiple early and later stage settings. These trial designs will be finalized in the fourth quarter of this year. In bladder, we are also planning a registrational program to gain approvals in first-line metastatic bladder cancer and other settings. Since ASCO, we have enrolled additional patients into the first-line cisplatin-ineligible metastatic urothelial cancer cohort in PIVOT. And the ORR continues to be consistent in this patient population. As you know, this is a patient population with a very high unmet need, particularly, for individuals who have tumors with PD-L1 negative disease at baseline, and for whom single agent checkpoint inhibitors are no longer the preferred standard of care. With this in mind, we have several potential trial designs in bladder cancer, including ones that focus on this underserved patient population. We will review our program with regulatory agency shortly so that we can be ready to initiate our first registrational trial in bladder cancer by year-end. As Howard stated, we are advancing NKTR-14 with Takeda's dual SYK/FLT inhibitor, known as TAK-659 into a Phase 1/2 clinical trial in non-Hodgkin's lymphoma before the end of this year. TAK-659 is a clinical stage compound developed by Takeda that has already shown clinical activity in non-Hodgkin's lymphoma. In preclinical mouse tumor models, TAK-659 was shown to reduce the levels of myeloid derived suppressor cells, and increase levels of proinflammatory M1 macrophages in the tumor microenvironment. Since NKTR-214 does not target these myeloid cell populations, it provides a unique non-overlapping and highly complementary mechanism to TAK-659. As a first trial with NKTR-214, liquid tumor setting, the study provides a strategic opportunity for us. The trial will enroll patients who have relapsed/refractory to at least two prior lines of therapy but no more than three prior treatments. And we expect the first data from this trial towards the end of 2019. With Syndax, we're in the process of designing the first combination trial of NKTR-214 with entinostat in patients with I-O relapsed/refractory melanoma, and we expect to finalize the study design before the end of this year. With that clinical update, I'd like to hand the call to Gil.
Gil Labrucherie: Thank you, Mary, and good afternoon, everyone. I will start with a brief review of Nektar's second quarter 2018 revenue, and then I will give an update to our annual financial guidance to incorporate our final accounting conclusions for the BMS collaboration, which closed in the second quarter. We ended the second quarter with $2.106 billion of cash and investments. At the closing of the strategic collaboration with BMS on April 3, we received $1.85 billion, which includes a $1 billion upfront payment, and an $850 million premium equity investment. We recorded the equity investment at fair value on the April 3 closing date, estimated to be $790 million, which reflected the price of our stock on the closing date, and a discount for the unregistered status of the shares issued to BMS. This resulted in $790 million being recorded as additional paid in capital, and the remaining $1.06 billion being recorded as revenue in Q2 based on our GAAP revenue accounting conclusions regarding the units of accounting in the collaboration arrangement and the allocation of value to those units. Now let's turn to our 2018 financial guidance. Our annual financial guidance remains unchanged other than incorporating our final GAAP revenue accounting conclusions for the BMS collaboration transaction. Our full year revenue guidance of $1.165 billion to $1.175 billion includes $1.06 billion of revenue recognized in Q2 from the BMS payments, and an additional $105 million to $115 million of product sales, royalty and other revenue. We expect the remaining $40 million to $50 million in our full year revenue guidance to be recognized ratably over the last two quarters of 2018. Our GAAP expense guidance is unchanged. We anticipate 2018 GAAP R&D expense will range between $400 million and $425 million, which includes approximately $60 million of noncash stock composition and depreciation expense. G&A expense for 2018 is still projected to be between $72 million and $75 million, which includes of $28 million of noncash stock compensation and depreciation expense. We still expect to end the year with a cash position of between $1.9 billion and $1.925 billion. And with that, I will open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from Chris Shibutani from Cowen. Your line is open.
Chris Shibutani: Thank you very much for the questions. Appreciate the updates. In the past, particularly for a long you have been consistent in describing your multipronged approach, and likely taking it to envision multiple trials, which Mary elaborated a little bit. Can you help us understand your latest thinking as far as the development strategy? In particular, when we might be able to finish the year and sort of get an understanding of what segments of lung patients we might see results from? Thanks.
Mary Tagliaferri: Hi, Chris, it’s Mary. Thank you for the question. We've always said that we were going to move forward with a very broad program and lung cancer lung cancer. And to that end, we have a strategy for moving forward into first-line lung cancer. And as you may know, we are looking now in the patient population, that's PD-L1 high, PD-L1 intermediate and PD-L1 low. And we do believe there are opportunities in all three of those segments, although, the clinical trials may not look exact same for each one of those patient populations. In addition, after the release of the KEYNOTE-189 data, we think there is a very important opportunity for those patients who have actually either relapsed/refractory to a frontline I-O agent and we also are pursuing a second-line strategy that is both embedded into our PIVOT-02 study as well as randomized controlled studies. Third, we also believe that there is an opportunity for those patients who have unresectable Stage 3 lung cancer and would go on to an I-O regimen such as durvalumab. And so we are looking also at an opportunity in Stage 3 patients. And then fourth, we also are looking at designing trials for those patients who have early-stage lung cancer that is unresectable and so we are moving forward with a broad strategy and those are some of the possibilities, not all of them, but some of the possibilities that are top of our mind.
Chris Shibutani: So then in your press release, you did outline particular conferences, some of them on the more specific and unique side. And Howard, also did talk about presenting data at may be tumor-specific events. And if I think about now to the end of the year, there's some pretty obvious and maybe some less obvious ones. But if I think about lung, there's World Lung in September, there's ESMO. And I think your release identified certain abstracts there. And then you did mentioned SITC as far as the PIVOT update. But for lung, should I be thinking that any of those three represent unique and specific opportunities to learn about a data update, specifically on lung cohorts that have had at least one and hopefully more than one follow-ups again? Thank you.
Mary Tagliaferri: Yes, great question. We plan to maintain data visibility with a continual stream of presentations at scientific meetings. And moving forward, we're going to do just this year talking about as present data by individual cohorts at distinct meetings. So this means that over the course of six to 18 months when we have sufficient maturity of the data, we are very thoughtfully planning with BMS where to present that the lung data as you mentioned as well as all the other cohorts to highlight our results. And remember, one of our primary goals is going to be to educate the medical oncology community who are going to be participating in our 20 registrational trials. So while some of the presentations are going to be at the larger general oncology conferences such as ASCO or SITC, we also are planning on presenting at more tumor-specific focused symposiums where we could capture our large audience such as the thoracic oncology community. Remember that PIVOT data is maturing at different rates and I think you are very well aware in a cohort like first-line RCC the response rate has increased over time. And so the maturation of the data in RCC could be very different than say what we're seeing in urothelial cancer where we showed you a very rapid response to the doublet treatment with six out of 10 patients having objective response, after we presented at ASCO. So Howard made it very clear to today too that at SITC we'll be providing a full update on our first-line melanoma cohorts that includes 38 patients at SITC this year. And those patients will all have had a six months follow-up at the time of our presentation.
Chris Shibutani: Great, thanks for the question and follow-up. I’ll get back into the queue. Thank you.
Operator: Thank you. Our next question comes from Jessica Fye from JPMorgan. Your line is open.
Jessica Fye: Hey guys. Thanks so much for taking my questions. Mary, I think this one is probably going to be for you again and sort of following up on Chris’ question. Just to really make sure I understand the cadence of data releases and updates from PIVOT going forward, is that first-line melanoma update at SITC, the only update we should expect to see of those various cohorts between now and year-end?
Mary Tagliaferri: Yes, Jessica, that’s correct. The melanoma first-line cohort will be the data from PIVOT that we update at SITC. And then again, there are numerous other tumor-specific conferences coming after SITC and we plan on – like I said, very thoughtfully when we have six-month follow-up for cohort, that's been fully enrolled to present those data. And again, just as I mentioned to Chris, we really see a continual stream of presentations at scientific meetings over the next six to 18 months. And as you know, we have multiple cohorts in the PIVOT-02 program that allows us and reports us that opportunity for data release.
Jessica Fye: Okay, got it. And just following up on that, you mentioned this kind of six months mark. Is that the sort of definition you've established or agreed upon with Bristol to sort of define what constitutes mature data? I'm thinking in, particular again, about when we could see those post-PD-1 lung cohorts you mentioned, specifically the ones that were just post single agent P1 and post PD-1 and plus chemo. And can you remind me if – I think you've mentioned you had a few dozen of those patients already enrolled as of ASCO. Were those a mix of post single agent PD-1 and post chemo combo? Or were those all post single agent PD-1 patients that we heard have been enrolled then?
Jennifer Ruddock: Hi Jessica, so your second question, I'll take first, which is what we presented at ASCO was a mix of both second and third line patients. In PIVOT-02, we have two relapsed/refractory cohorts, one that would allow those patients who had a single agent checkpoint inhibitor in frontline, as well as patients who had a chemotherapy doublet, then went on a single agent checkpoint inhibitor. So we actually have one cohort that allows second or third line patients, and then we have a cohort that could serve potentially as an accelerated approval cohort patients who just failed chemotherapy plus pembrolizumab in the first-line. And then those would be second line relapsed/refractory patients. Going back to the same question that Chris asked is when will we have data? We really are going to be transparent once we have mature data, and we're going to be presenting data at a scientific conference. Today, Howard's made it really clear that we're going to be at SITC as we promised at ASCO, showing the first-line melanoma data and then the six-month follow-up data really is a general sense of when we believe data will be matured. Obviously some data may be mature more quickly and in the relapsed/refractory setting we may see it takes a little bit longer for patients to respond to treatment. We also will always ask you to keep in mind, we see deepening of responses over time as we follow-up patients and we also see increased number of patients who respond as we go over time and just in RCC alone, we've seen one patient on the fifth scan convert from stable disease to a responder. So we do know that in certain tumor types, it's going to take longer for the data to mature and in other tumor types, it will be more quickly. As we make a decision on presenting the data, we will ensure that our investors and our scientific community are aware of that.
Jessica Fye: Okay. But just to be clear, you have established what constitutes its mature data in lung with Bristol or is that something where you both kind of have to look at it and make a call as you see it coming through? Because I appreciate the dynamic you're talking about that the response rates can evolve over time depending on the tumor type?
Mary Tagliaferri: Yes, so in general, we have agreed to a six-month follow-up time, is roughly speaking, what we will be aiming for. But again, we are working hand-in-hand with Bristol on the design of these Phase 3 trials, on the interpretation of the data and on the release of the data. So while we have a general rule of thumb, for some data we may say, the maturation is sooner than six month follow-up for the last patient in and we're going to move forward with submitting an abstract.
Jessica Fye: Okay, super helpful. Thanks a lot.
Operator: Thank you. Our next question comes from Andy Hsieh from William Blair. Your line is open.
Andy Hsieh: Hi, thank you for taking my question. Sorry about the background noise. I am actually traveling today. I think Mary, you talked a lot about the frontline and second line opportunities across different tumor types. Just wondering about your view and your partner, Bristol-Myers' view, in terms of the adjuvant setting, given that that could be opportunity that's multiples of be metastatic settings. So curious about your thoughts on that market? Thank you.
Mary Tagliaferri: Andy it is great question and in all the tumor types that we pursuing we have done a deep dive into the opportunities in the adjuvant settings. And I think the one thing that is very appealing in some cases is that the adjuvant setting you can compared to placebo. So it does provide a unique opportunity to explore the benefit of the doublet and provide patients with an extension of the disease-free interval. We are evaluating potential strategies in the adjuvant settings and we certainly, as we evolve in our development plan, we will be transparent about where we're moving and trials that are conducting. As Howard, and I have mentioned today, we've moving forward into three different Phase 3 trials this year and a very shortly, you will see the clinical trial design for the first line melanoma study on clinicaltrials.gov and we will regularly be updating clinicaltrials.gov with the designs of all our Phase 3 trials.
Andy Hsieh: That is super helpful. Thank you Mary.
Operator: Thank you. And our next question come from Tyler Van Buren from Piper Jaffray. Your line is open.
Tyler Van Buren: Hi good afternoon. Thanks so much for taking the questions. With respect to the Phase 3 first-line melanoma study, could you give us some details on the assumptions for the control arm in terms of how many months? I guess did you say 22 months to the PFS end point? And can you just define whether that's from the end of accrual or the beginning? And just what your thoughts and assumptions are with respect to what the control arm will do?
Mary Tagliaferri: Great question Tyler. We are very excited to be working with BMS, obviously, on this study because we can leverage their success in the first-line melanoma setting because they are the only company that has shown superiority of an I-O doublet over a single agent checkpoint inhibitor. So the design of our Phase 3 similar to CheckMate 067. And I strongly encourage everybody to look at the New England Journal of Medicine article for the results of their study. And the first off, there's James Larkan, who also happens to be on our steering committee. So in terms of your specific question, it's 22 months from first patient being dosed. And in terms of what we expect the control arm how we expect single agent nivolumab to perform is very clearly shown in the CheckMate 067 study, which is medium PFS of 6.9 months.
Tyler Van Buren: Wonder, that is really helpful. And in response to Chris' question, when discussing our RCC, you mentioned that the response rate has continued to increase over time. Have you seen those similar dynamics play out from the updated data set of 26 patients at ASCO, is it possible to give any color there?
Mary Tagliaferri: I say this all the time. My academic collaborators will kill me if I give out any new data out on an earnings call. And so, we definitely plan on providing updates on all of our cohorts as scientific conferences. And the melanoma cohort will be providing an update on in November at SITC, we have 38 patients. And that is the fully enrolled cohort.
Tyler Van Buren: Understood and in the Phase 3 plans, you mentioned that bladder, the ORR continues to be consistent with what has been observed. Can you just confirm how many bladder patients have been enrolled? And maybe how many have received the first scan?
Mary Tagliaferri: Yeah, I just wanted to remind everybody again, at ASCO we had a 60% ORR. And we saw equal efficacy in both the PD-L1 negative and PD-L1 positive patient population. There was first-line system eligible. And while I shared with you qualitatively that we see the consistency of the data as we have more patients with available scan data, we are going to be providing an update at scientific conference for the total cohort that's available. So thank you for asking the question.
Tyler Van Buren: Great, thanks so much.
Operator: And our next question come from Difei Yang from Mizuho Securities. Your line is open.
Difei Yang: Hi, good afternoon. And thanks for taking my question. So, mainly this question is for Mary. Just for baseline characteristics of those PD-L1 negative patients. Over time, do you have a rough idea with other treatment of 214, but other background treatment, what percent roughly will turn into PD-L1 positive or is that not possible at all?
Mary Tagliaferri: One of the things that we were very fortunate to do in our program is launch this study in collaboration with MD Anderson in an alliance. And we also are very fortunate to have Jonathan Zalevsky as our Chief Scientific Officer, who has deep tumor immunology. And because of that, in a very calculated went about understanding our mechanism of action by collecting biopsies that baseline and on treatment. And while we have been very transparent to publish our data showing over 50% of the patients have converted. Unfortunately, other companies haven't presented the same sort of data. And so, we would be very happy to review data from other clinical trials but as far as we know, we seem to have the highest proportion of patients convert and what we also showed at ASCO is not only do we have a high proportion of patients who convert from PD-L1 negative to positive but those patients who do have clinical outcome very similar to patients who are PD-L1 positive at baseline. So, we look forward to other companies sharing their data over time. And unfortunately, those data aren't available from a lot of other clinical trials. And I'm just really grateful to be in collaboration with Jonathan who encouraged us to capture that data at the beginning of our studies.
Difei Yang: Well, thank you for the additional color on that. And then just in general, a follow-up question. In general, what is the assay variability on these PD-L1 biopsies? Are they fairly consistent or vary significantly?
Mary Tagliaferri: I can let JZ answer this but I know that there has been published literature to show very consistent assay results from both the commonly used assays for both BMS and Merck. And so JZ, if you want to comment further about the methods. I'd appreciate you taking this question.
Jonathan Zalevsky: Sure thing, happy to. Hi, Difei. And so indeed as Mary said, the methods are validated. And as they are validated, they reach a level of precision and accuracy, which is consistent with their validation. So that, that the method is very reliable and robust. And in addition, I mean our trials, we collect fresh biopsies from almost all of the patients to collect the data for PD-L1 status at baseline. And in this case, in addition to that there is validity as the method, using the fresh tissue biopsy further strengthens the result because it gives you the most moment in time result associated with the start up therapy.
Difei Yang: Okay, thanks. And thanks Jonathan for the help on the assay part.
Operator: Thank you. Our next question comes from Bert Hazlett from BTIG. Your line is open.
Bert Hazlett: Thanks. Thanks for taking the questions. Couple of clarifying questions. Thank you for the data releases upcoming. And you have discussed 262 and 214 together. I think it's trial-in-progress that poster that's going to be presented with ESMO that say's with or without nivolumab. I guess just thinking about 262, 214 combination. Is that going to be subject than to kind of this Bristol-Myers, let's – let’s let the data mature type of agreement? Or is it something you can maybe more freely present as it matures?
Mary Tagliaferri: Yeah, hi, Bert.
Bert Hazlett: Hi.
Mary Tagliaferri: Obviously, we’re going to share data that is mature and can be put into clinical context and we will be doing that across all of our programs whether it’s our immunology, our pain or our immuno-oncology programs. So we will definitely be sharing data on that trail once we have first – the first step is to identify or recommended Phase 2 dose, and once we’ve identified that in our dose escalation then will be moving broadly into multiple different tumor settings with roughly 400 patients. And so I think the data release will be very similar and that program as we’re talking about – as data become mature over time. We will have a continual stream of presentations at scientific meetings, first step. So again, as to get through the dose escalation and identify our recommended Phase 2 dose.
Bert Hazlett: Okay, so when might we will be able to see the first wisp of data with that combination then?
Mary Tagliaferri: Yep, so by the end of this year, we should have biomarker data from the earliest cohorts, recall that in our early cohorts and because this is a novel, novel combination, we have to do sequential dosing with Nektar-214 and Nektar-262. So in the first cycle, we will be capturing isolated safety data from Nektar-262 and then in cycle 2 and beyond. We combine with Nektar-214. So and I am going to turn it over JZ because he can give some more details about all the biomarkers and specifically those related to the TLR pathway. JZ?
Jonathan Zalevsky: Sure, thank you, Mary. Yeah, so, Bret, one of the key things that we did in this trial is we make sure in both our blood based collections and tumor based collections, we could delineate the mechanism of Nektar-262 as it engages as the TLR-78 pathway. And in addition see how that delineation stacks against the Nektar-214 specific sets of immune activation. So in the tumor and in the blood, we have a number of biomarkers that detect type 1 interferon activity. And so that’s associated with the kind of interferon signaling pathway that that TLR engages. So we could detect that both in the tumor and in the blood in terms of both molecular biomarkers such as gene expression, but then also changes at the protein and cellular level because the TLR engages different cell population than that Nektar-214. So those two sets of biomarkers specific to 262 and specific to 214 are very important. We use them together. They will show it differentiation of this combination from Nektar-214 alone for example and it also just really inform the types of tumors and the way we would use the combination going forward.
Bert Hazlett: That’s great additional color. Thank you. And just a clarifying question then with the triple combination Opdivo-214, did you say Mary that that the initial indication was going to be an RCC or did I mishear that?
Mary Tagliaferri: So, we are looking at the triplet combination in two different dosing regimens. And the first cohort patients we've enrolled in both RCC and non-small cell lung cancer. We will also be looking at regimens in bladder cancer and melanoma and melanoma as well.
Bert Hazlett: Okay. Thank you. And then just one strategically for Howard with 181 you’re making excellent progress but there is a blizzard of activity some productive, some not productive maybe with regard to the opioid landscape. How do you think about monetizing this assets, it’s intriguing one but I know you are thinking about it, but there is a ton of activity again, some productive, some maybe not so. I would love to get your thoughts.
Howard Robin: Well, thanks. It’s a great – it’s a very good question. And we spent a lot of time talking to the people that are heavily involved in dealing with the opioid epidemic in our country both at the care level and the legislative level. And I think there is certainly a high level of interest for a molecule like Nektar-181, which can address the opioid crisis. I think the – we have an NDA that has now been filed by the FDA, we have a PDUFA date. I think we have had incredible useful meetings with the agency and they have been very, very helpful in guiding us through this process and I am – I strongly believe that there is a great opportunity for Nektar-181 as a novel and novel analgesic. We will see how things evolve over time. I agree with you it’s a very confused landscape and you see issues coming up all the time, but that’s exactly what we’re trying to solve. We’re trying to solve the very issues that you are identifying as problematic. So, let’s see how Nektar-181 progresses and again I believe that it will do a lot of good for dealing with the opioid crisis in the U.S.
Bert Hazlett: Thanks, thanks for the color.
Operator: Thank you. And our final question comes from Corey Davis from Seaport Global. Your line is open.
Corey Davis: Thanks, very much. I don’t think I’ll do the final question. It’s do but the question is more generally – and I know it’s early, but which is all the indications that you’re talking about. Do you think this is going to be the fastest to market for 214 and is any accelerated approval still a possibility at this point or is that highly unlikely?
Mary Tagliaferri: Yeah, hi. So we have talked about moving forward into three different Phase 3 settings in renal cell and melanoma and bladder. We haven’t gotten into all the details of our bladder strategy but certainly what we’re exploring is an accelerated or rapid pathway to approval. Now to get there of course we need to review our strategic strategy with the FDA and with the health authorities and we’re moving rapidly to do that in order to launch our pivotal trials by the end of this year. Likewise, as you heard today that in melanoma primary efficacy endpoint is projected for 22 months after the first patient is in. We also have always said that in PIVOT-02, we have the potential to convert that study into a registrational study for a patient population with a high unmet medical need. And certainly, those patients who receive checkpoint inhibitor plus chemotherapy in non-small cell lung cancer would also qualify for high unmet medical need as they relapse from that combination. There are also others who like a third line urothelial carcinoma population, or a relapsed refractory melanoma population. So we have always created a strategy that will allow us to leverage data quickly from the PIVOT-02 study to launch into definitive Phase 3 studies, as well as potentially move any of those cohorts into a rapid, accelerated approval pathway. And we have had those conversations with the FDA, which allows us to convert the PIVOT-02 into a registrational study. And so as we move forward, we believe that while the melanoma study will have a read out in 22 months, there are other opportunities for potential accelerated approval.
Corey George: Okay, thanks. And second question is I’m thinking about the effect of converting negative patients to positive patients, do you think that's anything the FDA would ever allow as either a claim or just information in the label? And being used as, perhaps, a surrogate end point? Or is just kind of a nice to have and at the end of the day it’s still just about survival and/or response rates?
Mary Tagliaferri: Yes it’s a really good point and we are evaluating multiple different opportunities to capitalize on ways to broaden our indications and move forward quickly with the FDA and that’s certainly on the list.
Corey George: Great, that’s all I had. Thanks.
Operator: Thank you. And I'm showing no further questions from our phone lines. I now like to turn the conference back over to Howard Robin for any closing remarks.
Howard Robin: Well thank you everyone. It’s certainly exciting to embark on the initiation of 20 registrational trials with NKTR-214, as well as the initiations of trials for other targeted therapies and I-O therapies. It's clearly says a lot about the importance of this molecule and we strongly believe that NKTR-2014 can be the central therapy in immuno-oncology. So I want to thank our employees for the spectacular performance and our investors for all their great support. And we'll keep you posted. Thank you very much for joining us.
Operator: Ladies and gentlemen thank you for participating in today’s conference. This does conclude the program. You may all disconnect. Everyone have a wonderful day.